Operator: Thank you for attending Wajax Corporation 2023 First Quarter Financial Results Webcast. On today's webcast will be Mr. Iggy Domagalski, President and Chief Executive Officer; and Mr. Stuart Auld, Chief Financial Officer. Please be advised that this webcast is being recorded. Please note that this webcast contains forward-looking statements. Actual results may differ from expected results.  I will now turn the call over to Iggy Domagalski.
Iggy Domagalski : Good afternoon, and thank you for participating in our first quarter call. This afternoon, we will be following a webcast, which includes a summary presentation of Wajax' Q1 2023 financial results. This presentation can be found on our website under Investor Relations and Events and Presentations. I will provide you with a general update, and we'll then turn it over to Stu for comments on backlog, inventory, cash and the balance sheet. To begin, I would like to draw your attention to the cautionary statement regarding forward-looking information on Slide 2 and the non-GAAP and other financial measures on Slide 3. Turning to Slide 4. This slide provides an overview of Wajax. The corporation has 165 years of Canadian operating history, operates across 121 branches with a team of over 3,000 employees, including more than 1,100 skilled technicians. During the quarter, our heavy equipment categories and revenue sources made up approximately 54% of our total revenue while industrial products and ERS generated approximately 46%. Turning to Slide 5. In the first quarter, Wajax saw significant improvement in key financial metrics and TRIF. Revenue of $516.1 million was up $76.5 million or approximately 17% in the quarter. The increase in revenue resulted from higher Construction, Material Handling and industrial parts sales in all regions, and increased ERS sales in Western and Eastern Canada. EBIT of $28.6 million was up $2.2 million or approximately 8% in the quarter. The improved EBIT resulted from higher sales volumes, offset partially by lower product support margins and hiring and administrative expenses. Gross profit margin of 20.4% decreased 90 basis points compared to the same period of 2022 due to lower product support margins and a lower proportion of product support revenue. This was offset partially by higher equipment margins and a higher proportion of ERS revenue. Selling and administrative expenses as a percentage of revenue decreased to 14.9% in the first quarter of 2023 from 15.3% in the first quarter of 2022. Selling and administrative expenses in the first quarter of 2023 increased $9.7 million or 14.4% compared to the first quarter of 2022 due primarily to higher personnel costs as the volume of business increased over the prior year and a $0.9 million unrealized loss on interest rate swaps during the quarter as compared to a $2.1 million unrealized gain on interest rate swaps in the prior year. Adjusted net earnings of $0.83 per share was up approximately 13% or $0.10 in the quarter, noting the adjustments recorded on this chart. At the end of Q1, the TRIF rate was 1.17%, a decrease of 18% from the first quarter of 2022. Safety continues to be Wajax's #1 priority, and management is committed to continuously improving our safety programs to improve on this result. We thank everyone on our team for their ongoing dedication to workplace safety. Turning to Slide 6. Revenue increase of 17% in the first quarter resulted from growth in all regions. Western Canada sales of $238 million increased 15% in the quarter, mainly due to strength in the ERS and industrial parts categories as well as higher Construction and forestry equipment sales, offset partially by lower mining equipment sales. Central Canada sales of $87 million increased 14% in the quarter due primarily to strength in industrial parts sales and higher Material Handling equipment sales. Eastern Canada sales of $190 million increased 22% in the quarter due to strength in the industrial parts and ERS categories and higher equipment sales in the Construction and forestry and Material Handling categories. Please turn to Slide 7. An update on equipment and product support sales and year-on-year variances are shown on this page. Equipment sales of $132 million increased $15 million or 13% compared to last year due mainly to strong Construction and forestry sales in Western Canada and higher Material Handling sales in Eastern Canada, offset partially by lower mining sales in Western Canada. Product support sales of $135 million increased $10 million or 8% due primarily to higher Power Systems and Material Handling revenue in all regions and higher mining revenue in Eastern Canada. Please turn to Slide 8. An update on industrial parts and ERS sales and year-over-year variances are shown on this page. Industrial parts sales of approximately $153 million increased $24 million or 19% and due mainly to higher sales in all regions, particularly in Eastern Canada. ERS sales of $85 million increased $25 million or 39% due to strong sales in Western and Eastern Canada. Turning to Slide 9. The slide summarizes sales at a category level for our company's overall groupings of heavy equipment and industrial parts and services. In the first quarter, the heavy equipment Group increased $27 million or 11%, driven by higher sales in all categories except mining. The increase in the Construction and forestry category was due primarily to higher equipment sales of Hitachi construction excavators. Total growth in industrial parts and services categories of approximately $49 million or 26% was driven by increases in both industrial parts and ERS. We continue to see growth in these less cyclical categories, and they remain a core element of our broader growth strategy.  I will now turn the call over to Stuart.
Stuart Auld: Thanks, Iggy. Please turn to Slide 10 for my comments on backlog and inventory. Our Q1 backlog of $530.8 million increased $62 million or 13.2% compared to backlog of $468.8 million in Q4 and decreased $9.3 million or 1.7% on a year-over-year basis. The sequential increase was due to higher orders in all categories, but most notably in the mining, Material Handling, ERS and Construction and forestry categories. The year-over-year decrease was due to lower Construction and forestry, mining and Power Systems orders, offset partially by higher ERS, industrial parts and Material Handling orders. Overall, strong and relatively stable on a year-over-year basis, backlog reflects continued momentum in our heavy equipment, industrial parts and ERS businesses. Inventory increased $122.2 million compared to Q4 2022 due primarily from higher Construction and forestry equipment inventory and increased overall parts purchasing due to strong sales activity as well as the receipt of a large mining shovel during the quarter. Inventory increased $175.3 million compared to Q1 2022 due to increases in most categories as a result of strong sales activity. Please turn to Slide 11, where I will provide an update on cash flow, leverage and working capital. Cash used in operating activities in the quarter of $69.6 million decreased $89 million from a cash generated from operating activities of $19.4 million in Q1 2022, mainly due to an increase in cash used in noncash operating working capital, primarily as a result of an increase in inventory and hiring income taxes paid related to 2022. Our Q1 leverage ratio increased to 1.74x from 1.13x in Q4 due to the higher debt level in the current period, driven largely by the corporation's investment in inventory. The corporation's leverage ratio is currently within our target range of 1.5 to 2x at the end of Q1. Our available credit capacity at Q1 was $236.2 million, which is sufficient to meet short-term normal course working capital and maintenance capital requirements, our acquisition program and strategic initiatives. We continue to focus on working capital efficiency, which is a key component in managing our overall leverage targets. The Q1 working capital efficiency was 17.4%, an increase of 70 basis points from December 31, 2022, due to the higher trailing 4-quarter average working capital. Please turn to Slide 10. And at this point, I'll now turn it back to Iggy.
Iggy Domagalski : Thanks, Stu. Our 2023 outlook is summarized on Slide 12. Wajax delivered revenue of $516 million in the first quarter of 2023, which was up 17.4% over the same period in 2022, and we saw adjusted diluted earnings per share grow 13% to $0.80 a share. After the first 3 months of 2023, we continue to see solid fundamentals in many of the markets we serve, particularly mining, energy and Construction, supported by relatively elevated key commodity prices and sustained budgeting for capital projects. Further, we continue to expect the challenges of 2023 to continue to be similar to those of 2022, ongoing supply chain volatility, higher interest rates, inflation and a tight labor market. We continue to manage these challenges through frequent dialogue with suppliers and customers as well as through combination of initiatives designed to help us hire, train and retain key employees. Overall, we are very pleased with our Q1 performance as it represents a significant improvement over Q1 last year, including strong top line growth and our less cyclical and priority industrial parts and engineered repair services business. And our backlog continues to be robust, ending the quarter at $530.8 million, representing a sequential increase of 13.2% from an already strong backlog of $468.8 million at the end of last year. The strong and relatively stable backlog continues to support our confidence in the near-term future. And our core strategic priorities remain unchanged, and we are focused on continuing to invest in our people and their overall health and well-being, delivering exceptional customer value, organically growing our business, transacting robust acquisition pipeline, leveraging our enhanced relationship with Hitachi, prudently managing our balance sheet, deploying our ERP and entrenching sustainability into the business. The corporation also declared a dividend of $0.33 per share, and that will be payable on July 5, to shareholders of record on June 15.  I'll now turn it back over to the operator for any questions.
Operator: [Operator Instructions]. Your first question comes from the line of Michael Doumet from Scotiabank.
Michael Doumet: So pretty impressive growth in particular in IP and ERS, which you mentioned. I'm assuming ERS had a pretty easy comp because of Omicron last year, but was there anything particular in the quarter that you want to call out that drove -- maybe outsized growth? And the reason why I'm asking is since there isn't much seasonality to those businesses, annualizing Q1 sales would imply plus 15% growth for the balance of the year. So just looking for comments to help set expectations there.
Iggy Domagalski: I think other than executing our business strategy, Michael, there hasn't really been anything that's materially different. Our team is working hard to get gear out the door. We did have some COVID problems, as you mentioned last year, which put a dent into our business last year. And we've fully moved on from those. And there were just -- there's always continuous improvement happening in the ERS business, but nothing to particularly call out. It was just a strong quarter, and we expect strength in that business going forward.
Stuart Auld: Yes, I'd just add one thing, Michael. Just if you look at the chart on backlog, we have a pretty strong backlog in both IP and ERS much higher than it was last year. So that's another kind of component.
Michael Doumet: That's really impressive, guys. Okay. And then maybe turning to the equipment side. In recent months, we've seen Hitachi go out some pretty ambitious targets, I believe, wanting to nearly triple the market share in the next 5 years. I think for Wajax, you guys have always done a little better than the U.S. dealer peers. So in terms of market share, I don't assume it's a triple for you guys, but I wonder what levers you've seen so far or you expect going forward from Hitachi that will help you drive profitable growth?
Iggy Domagalski: Thanks for the question, Michael. Yes, Hitachi has come out with some very aggressive growth plans, which we are thrilled to be a part of. They have their 4 key strategies that they publicly released. The third piece of that is expanding business in the Americas. So it's a huge focus for them. Canada is obviously part of the Americas. And in the Americas, Wajax is by far Hitachi's #1 partner with the highest market share. So I don't think tripling our market share is something that we would be able to do in the near term. But certainly, we have very ambitious growth targets in that area. And the way that we plan to do that is -- it's a multipronged approach. Hitachi's first key strategic priority is delivering innovative solutions for customer needs, which they are already starting to do. They released their -7 series for their construction excavators and loaders at ConExpo in Las Vegas last month. Lots of really great product features and changes that further distinguish the Hitachi units from the Deere units. So a few ways that we see profitable growth happening is selling a differentiated whole goods product, so differentiated units. We see additional opportunities in aftermarket. We see big opportunities and support and service. And Hitachi is fully supporting us. It's just so wonderful to have a partner that really, really wants us to win.
Operator: Your next question comes from the line of Michael Tupholme from TD Securities.
Michael Tupholme : First question relates to Material Handling. It seems like that was a key source of growth this quarter, at least in Central and Eastern Canada. Wondering if you can comment -- provide a little bit more detail on the demand you're seeing in that area.
Iggy Domagalski: I think it was similar to ERS. It was a matter of our team just executing well this quarter. We haven't seen any particular changes in the market that remains stable and fairly robust, but there's no big underlying changes in the reason for our outperformance. It was just a good quarter. 
Michael Tupholme : Okay. And then I guess, similarly, I know it’s a much smaller part of the business, but on the Equipment rental side, again, very strong growth there. Is it the same thing, just strong performance and nothing unusual in that level of revenue you saw in Equipment rental, is that sustainable?
Stuart Auld: Well, part of the rental increases, which we don’t talk about a lot was in our power gen business, which is a pretty small part of the business. But given some of the ice storm stuff, that really got a bunch of the equipment that we have, albeit a smaller portion, out the door. But I’d say our rental business in general has been strong.
Michael Tupholme : Okay. That’s helpful. Within the backlog, it seems as though on a sequential basis, one of the drivers to the improvement was some mining orders. I know there were other areas as well of strength. With that in mind, I’m wondering if you can comment on what you expect in terms of large mining shovel deliveries over the balance of the year, how we should think about that?
Iggy Domagalski: Sure. I can comment on what we have currently in the backlog. We’ve got 2 large mining shovels in the backlog. We have an 8000, which would be our largest unit with planned delivery in Q2. And then we have a 5600, which is our second largest unit, which is – which will be on rental purchase order, which we anticipate to convert in late Q2 or sometime in Q3.
Michael Tupholme : Okay. That’s helpful. And then just last one for me. In terms of working capital, a fairly large outflow in the first quarter, which I think explained is -- a lot of that is due to higher investments in inventory. Maybe this is for Stu, how do we think about expected changes in noncash working capital as we look out over the balance of the year?
Iggy Domagalski: Yes. I’ll start that one off, Michael. When we think about our inventory, it’s got a couple of pieces, and I think I’ll talk about the parts first. We’ve invested significantly in part to support our growth and to make sure we’re meeting our customers’ needs, and we measure that through fill rates. And that’s – and we see the positive results and increased revenue in our parts category. So we feel pretty good about that. As mentioned, there’s 2 shovels in backlog now. The 8000 was not expected. That one was a nice positive surprise for us. But the majority of that increase was in Equipment, and the majority is Hitachi. A good part of it is already sold. The units just need to be PDI-ied and sent out the door, and we’ve just got a backlog of units that need to get out the door. And we’re really fine-tuning the cadence with Hitachi. So that relationship with buying from Japan is still fairly new. So we’re figuring it out. It still may be a little bit lumpy, but we’re getting better at it. But overall, we’re pretty good with the inventory levels, and we feel good that our inventory levels are appropriate for how our sales are growing and what backlog looks like. And from our end, we look at things like turns, which remain at great levels. We look at obsolescence, which is at very low levels. And we’re – we shy away from buying speculative inventory. When we load up on inventory, we buy the things that we know our customers are going to buy. And when we load up on parts inventory, we load up on the fastest moving parts inventory. So we feel pretty good about the quality of the inventory that we have. Stu, would you have anything to add? That’s everything, Mike.
Michael Tupholme : Okay. Are you able to just – that’s very helpful. Are you able to talk at all about how we should expect us to look then over the balance of the year? So given these investments and given your comments about a lot of the Equipment being presold, I mean do you expect changes in noncash working capital to turn into a source of cash as we move through the year? Or is this more of a neutral level kind of in future quarters through the balance of the year?
Iggy Domagalski: I would say neutral to positive. There’s just a lot of moving pieces with the inventory. As mentioned, we’re still getting used to the cadence with Hitachi. They are our largest manufacturer. So the timing of their shipments affect things, how quickly we can get things out the door, that really affects things. So we expect it to be neutral to positive, but it likely will be lumpy.
Operator: Your next question comes from the line of Bryan Fast from Raymond James.
Bryan Fast: So as we look at your end markets and you called out specifically strength in mining, energy and construction, could you highlight some of the areas or end markets where you're seeing maybe the most pronounced headwinds or even softness?
Iggy Domagalski: Yes. Bryan, thanks for the question. When we look at forestry and the associated pulp and paper mills, we do see some weakness in those areas, which has an effect on us. With that said, we distribute the Tigercat brand for forestry equipment in all of Canada except BC. So the areas that we are exposed to are non-BC-related forestry. And an area that is -- that we see slowing down a little bit is residential construction. With that said, our exposure to residential construction is fairly minimal. The excavators that we sell are usually sold to commercial and industrial-type customers.
Bryan Fast: That’s helpful. And I know Hitachi recently started providing their own branded financing offering. Could you maybe discuss kind of customer uptake and maybe how this has impacted your ability to sell your work?
Stuart Auld: Yes, they – we just – we started, I’m going to say, sort of the end of March or early April. And it’s been pretty positive. A little bit of slow out of the gate because it was brand new. But our guys are getting used to it. The salesman are getting used to it. And as with anything that’s Hitachi, they keep fine-tuning that. So we have a long way to catch up from the way that Deere did it. They had a pretty positive program, but we think we’ll get there over the next several months.
Operator: There are no further questions at this time. Please continue.
Iggy Domagalski : Thank you, everyone. Have a wonderful afternoon.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.